Operator: Good afternoon, ladies and gentlemen and welcome to the Perma-Fix Environmental Services First Quarter 2022 Conference Call.  It is now my pleasure to turn the floor over to your host, David Waldman, Investor Relations. Sir, the floor is yours.
David Waldman: Thank you and good morning, everyone and welcome to Perma-Fix Environmental Services first quarter 2022 conference call. On the call with us this morning are Mark Duff, President and CEO; and Dr. Lou Centofanti, Executive Vice President of Strategic Initiatives; and Ben Naccarato, Chief Financial Officer. The company issued a press release this morning containing first quarter 2022 financial results, which is also posted on the company’s website. If you have any questions after the call, would like any additional information about the company, please contact Crescendo Communications at 212-671-1020. I’d also like to remind everyone that certain statements contained within this conference call may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and include certain non-GAAP financial measures. All statements on this conference call other than a statement of historical fact are forward-looking statements that are subject to known and unknown risks, uncertainties and other factors, which could cause actual results and performance of the company to differ materially from such statements. These risks and uncertainties are detailed in the company’s filings with the U.S. Securities and Exchange Commission as well as this morning’s press release. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after the date hereof that bear upon forward-looking statements. In addition to today’s discussion, we’ll include references to non-GAAP measures. Perma-Fix believes that such information provides an additional measurement and consistent historical comparison of its performance. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is available in today’s news release on our website. I’d now like to turn the call over to Mark Duff. Please go ahead, Mark.
Mark Duff: Alright. Thanks, David and good morning. Results for the quarter, while disappointing, we’re very much in line with our expectations as we discussed in our recent year-end conference call, we continued to experience weakness in January and February related to the pandemic and the delays in both our Services and Treatment segments. That said, we started to see things pick up in March and saw a significant increase in production which has continued at the start of the second quarter. While the Services Segment – excuse me, within the Servicing Segment, we recently commenced several important projects that are mostly fully operational at this point. In turn, we expect these projects will contribute to improved revenues and profitability in the second quarter. As a result of these latest project awards, we anticipate growth in our Services segment revenues of roughly 50% in the second quarter alone. As we sit here today, our services project backlog is approximately $58 million which bodes well for the balance of the year. In addition, we anticipate the federal government will be procuring new projects in the second and third quarters that we expect will further contribute to our revenue growth going forward. As I mentioned on the last call, we’ve been selective on several IDIQ or multi-award task order contracts that, include large funding ceilings and opened up new markets with the approved federal budget. These contracts provide us the ability to bid on task orders among a select group of companies. With the limited competition and the scope of work that they provide, we have a good sense of the potential opportunities going forward. We anticipate the government will begin awarding these related task orders in Q2 and Q3. We are also bidding on some much larger service projects within DOE as part of larger teams that will begin to be announced later this year. If we’re successful on one or more of these projects, they can contribute meaningful recurring revenues and cash flows on multiyear projects. As I have stated in the past, the federal government has been slow to procure new task orders due to the pandemic. However, these projects have not gone away. We’ve received information regarding numerous opportunities that we expect to be bidding over the next two quarters. There is a significant pent-up demand and we look forward to capitalizing on this opportunity in a very meaningful way. Within our Treatment Segment, we’re also seeing strong demand for waste treatment capacity as evident in the steady increases in recent requests for quotes from our clients. In addition, we’ve expanded our treatment services to the commercial utility sector which has broadened our market base and has resulted in several new shipments in Q2 that will likely represent sustainable revenue for several years. We have completed a start-up and testing of our new vacuum thermal desorption system and continue to see strong market demand for the system overall, which will be an important component to DOE’s mission as well as waste generated by utilities and the oil and gas industry. Overall, we’ve built a solid foundation for growth, and we’re confident the momentum and profitability we’ve achieved prior to COVID will be realized again as a result of our increased bidding activities, expansion of our waste capabilities and treatment capabilities and improved federal budgets. Also, it’s worth reiterating the importance of the new 2022 Federal Spending Bill, which allocates $900 million of incremental funding within DOE’s Office of Environmental Management. These increases over prior year funding typically support increased waste treatment and other projects which align with our core competencies. We also remain highly encouraged by the outlook of the Test Bed Initiative, or TBI, also known as the low-level waste off-site disposal project in support of the DOE Hanford Tank disposition mission. The second phase of the TBI project to include the extraction shipment and transportation of 2,000 gallons of tank waste to our Perma-Fix Northwest facility located in Richland, Washington is anticipated to occur in late Q3. To put this project in perspective and the potential that it holds for Perma-Fix, the DOE was directed by the National Defense Authorization Act or also known as the NDAA to enter into an agreement with the Federal Funded Research and Development Center, FFRDC to conduct analysis to evaluate approaches for a supplemental treatment of the low-activity waste in addition to the current view vitrification strategy. The current DOE strategy includes vitrification of the low-activity waste in a new plant that they are currently constructing called the direct feed low-activity waste plant or DFLAW plant under construction currently scheduled to begin operations in December of ‘23. The subsequent draft report by the FFRDC was developed by 4 national laboratories and concluded that the grouting technology appears to be the only alternative that is quote, technically viable, affordable and flexible enough to implant under assumed constraints, budget constraint scenarios without significant impact to the waste treatment plant high-level waste vitrification facility and its mission and scheduled for completion. The report further states and I quote, that DOE should expeditiously implement multiple pathways for off-site grout solidification and mobilization and disposal of all of waste in parallel with the DF low facility. That’s the direct feed low-activity vitrification process. According to this report, the implementation of off-site grouting to address the 56 million gallons of tank waste at Hanford, would potentially save the DOE as much as $95 billion – $95 billion with a B. Even if it’s assumed just a modest percentage of that overall savings comes to perfect, you can see what this project holds in regards to its revenue potential and Perma-Fix maintains the only capability to provide this treatment in the vicinity of the Hanford site. So I would invite you to look this report up on the Internet, and you can see the executive summary is summarized pretty well. The team that prepared this report is led by DOE Savannah River National Laboratory, along with the Pacific Northwest National Laboratory, Los Alamos National Laboratory and Sandia National Laboratories, a multi-university consortium along with the Institute for Defense Analyses and Parsons. As I mentioned on our last call, the recently enacted federal spending bill includes additional $7 million specifically allocated for the test bed initiative in 2022. This funding line item underscores the visibility and recognition within the U.S. Congress for a commercial grouting approach to supplement the current DFLAW program while providing significant cost savings and schedule reductions to support the Hanford mission. So to wrap up, it’s clear to us that there’s a solid federal budget and significant backlog of demand that we expect to capitalize on going forward. As a result, we remain confident, the balance of 2022 will see significant improvement over ‘21. And as I mentioned earlier, we are already seeing signs of this improvement in our March performance. We continue to invest in our capabilities and facilities. We have highly scalable infrastructure, and we’ve maintained a solid balance sheet as well. We are currently – we are already seeing the turnaround in Q2 and have a much better visibility for the balance of the year. As a result, we believe we’re well positioned to resume ultimately and significantly exceed the performance and profitability we had maintained prior to the pandemic through our increased bidding activities, waste treatment capability, expansion and the federal budget support. On that, I’ll now turn it over to Ben, who will discuss the financial results in more detail. Ben?
Ben Naccarato: Thank you, Mark. I’ll start with revenue. Our total revenue from continuing operations for the first quarter was $15.9 million compared to last year’s first quarter of $23.1 million, that’s a decrease of $7.2 million or 31.2%. The decrease in the revenue was entirely due to a drop in our revenue from our Services segments as new projects that were counted on to replace completed contracts were slow to start up. And this is basically because of COVID – related to COVID in the early months of the year. Delays also occurred for government funding and consumer – and customer administrative reasons, while our waste treatment revenue was consistent with first quarter, we continue to see delays in waste shipments due to the impact of COVID on our customers and our staff. Turning to cost of goods sold, our total cost of sales was $14.3 million for the first quarter compared to $20.8 million in prior year. That’s a decrease of $6.5 million or 31.3%, which is consistent decline in revenue. Much of the reduction in cost of goods sold comes from reduced labor, travel and subcontract expenses in the Services Segment and that relates to the lower amount of projects. While we did see plant expenses increased due to higher labor materials and utilities. Our gross profit for the quarter was $1.6 million compared to $2.4 million in 2021. The reduction in gross profit of approximately $720,000 was the result of the lower revenue in the Services Segment and the higher labor cost and plant costs in the Treatment Segment. Our G&A costs for the quarter were $3.4 million compared to $3.2 million in the first quarter of last year. This increase of $217,000 relates to higher outside service costs, audit and stock option expenses offset by lower consulting expenses in the sales group related to lower bid proposals. Our net loss attributable to common shareholders for the quarter is $1.3 million compared to last year’s net loss of $1.1 million. As with the gross profit delays in the start-up of our large projects in the Services Segment had the biggest impact on our results. Our basic loss per share for the quarter was $0.10 compared to a loss per share last year of $0.09. Our adjusted EBITDA from continuing operations for the quarter, as we defined in our – in this morning’s press release, was a loss of $1.4 million compared to a loss of 522 – $522,000 last year. Turning to the balance sheet, when comparing with year end, cash on the balance sheet was $3.9 million compared to $4.4 million. Unbilled receivables were down $3.7 million. This is due to timing of billing, but also an indicator of lower project revenue in the quarter. Our current liabilities were down $3.7 million and again is the result of timing of payments and reduced project work. Our backlog at the end of March was $6.1 million, down from $7.1 million at the end of the year and also down slightly from the $6.2 million in March of 2021. Our total debt at quarter end was $994,000 exclude – and this excludes debt issuance costs, of which $960,000 is owed to PNC Bank. Finally, I’ll summarize cash. Our cash provided by continuing operations was $148,000. Cash used by discontinued ops was about $142,000. Cash used for investing of continuing operations was $321,000 and that’s primarily capital spending. And cash used for financing was $189,000 representative of our $106,000 of payments on our term loan and finance lease payments of about $83,000. With that, operator, I will now turn the call over to questions.
Operator: Thank you.  And the first question is coming from Howard Brous with Wellington Shields. Your line is open.
Howard Brous: Thank you, Mark and Lou. I hope you all are well and your families are well.
Mark Duff: Thanks, Howard. Hope you are doing as well.
Howard Brous: Thank you kindly. So, let’s get to the FFRDC. So the question is, given appropriate permits, can you confirm that the State of Washington Department of Energy are finally in agreement to do grouting for low-level waste?
Mark Duff: Yes, Howard, I do believe both are supportive. The regulators have recently commented numerous times that they will make the resources necessary available to DOE to review any permit or any request for shipping the waste for TBI from the tanks and support that initiative. And it’s interesting because they’re not in support of a lot of different things associated with alternatives to the DFLAW plant. For example, they are not supportive of pretty much any waste treatment to be disposed of on-site except for vitrification. So again, our plan is to grout this way and ship it to off-site disposal – commercial disposal outside of state of Washington, specifically for the TBI, it’s WCS in Texas. And they are supportive of that approach. As far as the DOE is concerned, it’s also supportive. It – as a supplement to DFLAW, again, they are very sensitive to making sure DFLAW is not as distracted from TBI – or by TBI, but have been supportive of – through the regulatory process, getting the wear document and the NEPA Environmental Assessment through the system to support moving forward with the treatment, hopefully, by late summer.
Howard Brous: Secondly, let’s get to beyond the 2,000-gallon test. And you’re talking about sometime in 2023, a second – excuse me, the third test of 300,000 to 500,000 gallons. Where do we stand on that?
Mark Duff: Well, Howard, lot’s changing along the way on this program in that regard. The TSCR, which is the tank-side cesium removal system, has been removing waste from the tanks right now, doing a pretreatment to it and putting the waste and sewerage in another double cell tank. So far, I think we’ve done 200,000 or 300,000 gallons. I’m not sure where they are exactly. But that waste is perfect for us to conduct our grouting on either for the final phase or for long-term production. So we are hopeful that DOE will do 2,000 gallons and see the value in us treating and disposing of the TSCR waste that they are continuing to pump. And hopefully, that will make it much simpler. It is a little over waste. And by definition, at least that’s our view. And that would be a great candidate to continue the grouting operation and ship that off-site to demonstrate production level of value from the grouting approach.
Howard Brous: So when we talk about off-site, it’s off-site from Hanford to your site. Please help me understand that other people can do grouting. But what’s necessary for them to do it? And how long would it take?
Mark Duff: Yes. Our facility is located about 11 miles from the actual tanks. So it’s right at the edge of the Hanford reservation and what that makes it possible to do a very easy shipment to us, which we do all the time for Hanford waste now. We do all different types of waste from the Hanford site. We’re the only ones that have the permits and facility established right now. So it could take – to get the permits that we need to do this type of thing commercially off-site would be somewhere between 5 and 10 years estimating, depending on the resources the state would have and then the capabilities themselves would have to be developed. So we have these capabilities right now to do about 300,000 gallons a year and with some minor upgrades and minor permit mod, we could get to 1 million and be at a production level very efficiently to do that grouting at a very reduced cost from the current program.
Howard Brous: So as a result of the start-up of the vitrification plant, there will be almost a one-for-one. If they treat 1 million gallons, they are going to have enough million gallons of – I think the word is effluent that starts in basically 2024. Where do you stand in your ability to; one, get the contract; and two, process it? Grouting, of course.
Mark Duff: Yes. There is a number of different effluent streams that would come off of the DFLAW once it starts. Again, like you said, in December ‘23 is the current start-up plan. We are in line for that to provide that support to DOE. We don’t have a contract with them. We have spoken to them, but we don’t currently have a contract. But that would be a perfect solution for that effluent waste, that liquid would come off from that plant for grouting, and we’re pretty confident that Perma-Fix will be in a position to treat that waste so soon as they start processing. And you are right, it’s about one-for-one from a gallon that goes in out of waste out of the tank, they’ll produce about a gallon of that effluent water. There is some other effluents or other waste streams to come off as well that have some other distribution pass, but we’re looking at that water that they use in that process.
Howard Brous: Basically, one more question and I will let – and I’ll come back later. You’re awarded a contract from the EPA, along with two other general contractors, to remediate uranium mines on Navajo Nation territory. That was a $220 million contract, if my memory serves me correctly. So two questions. One, how much of that contract will you receive over what period of time and thirdly, when do you plan on starting?
Mark Duff: Sure. We have a pretty long list of IDIQ, Howard, as I mentioned in the script, and they are all slow to get moving. They were all waiting for the federal budget to be approved, which was done in March. And now they are wrapping up their task order RFPs which we have been told we should start receiving by mid-May. We have some big ones with the Army Corps of Engineers as well as  and the Navy. The one you mentioned, the EPA, we have had informal notification that there is – our first pass is coming. It’ll be three bidders on the hold that IDIQ for that abandoned uranium mines. IDIQ, we’re teamed with two other companies on that. And – but our role is significant. It’s to basically manage the waste and the radiation protection program, which is a significant portion of the project, particularly waste disposition and is also a component of sorting that as we’ve talked in prior calls, we have a technology that’s very advanced on that. So we’re highly confident that we will be competitive on that. I remember how these things go, but I don’t know the value on that initial task order, Howard, but I’ve been told there is over 20 uranium mines that are on the near-term list that they have characterized and putting together task orders on underneath that IDIQ. So it seems like there is going to be a good backlog of that work out there. It’s been funded by Congress, I know, and it’s highly visible in the Southwest. So hopefully, we will start seeing that program get some traction and getting those mines cleaned up out of those areas in the Arizona and Mexico region.
Howard Brous: That’s all I have. Best of the luck on getting these things done. Much appreciated. Thank you.
David Waldman: Alright. Thanks, Howard.
Operator:  And we have a question coming from Steven Fine, Private Investor. Your line is live
Steven Fine: Can you hear me? Good morning.
Mark Duff: Good morning, Steven.
Lou Centofanti: Good morning, Steven.
Steven Fine: First question is, when you said there was – you mentioned there was a $58 million backlog, how much is service and how much is treatment?
Mark Duff: Well, that’s all services, Steven. The treatment backlog that about – I want to say 7% or 8%, is that right, Ben?
Ben Naccarato: 6.1%.
Mark Duff: 6.1%, okay at this point.
Steven Fine: Okay. Alright. Obviously, as the rest of the world, you’re being impacted by costs. So with new bidding, are you able to pass on your extra costs?
Mark Duff: That’s a good question, Steven. It’s – our variable costs are not dramatic because most of our costs are running the facility. We’re obviously seeing some costs in labor, increases in fuel and trucking and containers. But to answer your question, we have been able to pass, on some waste streams there is been no problem at all. Other waste streams that are highly competitive, it’s been less. But overall, we have not seen an impact on our margins at this point overall. Our gross profit, Ben keeps very close – Ben our CFO keeps very close tabs on supply chain issues, inflation issues to make sure that we’re maintaining the gross profit that we had planned for the things that we’re treating specifically. On the Services side, it’s much less because it’s mostly labor. And several clients have been very supportive of the impacts in letting us do mods. And apply fuel surcharges along the way, but we haven’t seen a real impact overall to the operations at this point. Ben, is there anything else you want to add to that?
Ben Naccarato: Yes. Yes. The only thing that really stuck out in the quarter was natural gas costs at our plants. That was a good chunk. But otherwise, trends – fuel surcharges is in the trend, but really, our product line varies. Sometimes we use a lot of trends. Other times, we don’t. And when disposal increases are in – at our end disposal facilities, we’re usually able to pass that on to the customers.
Steven Fine: Does the – relative to increased cost, will that impact? If you get the TBIs, do you have a set price where that will be – your cost will be more expensive there now or is that not a factor?
Mark Duff: Our price is, yes, I would say – they are not set either at this point, yes. It’s just good.
Steven Fine: That answers the question. There is a big contract out for the operation of the plant and the plant maintenance. And I’m presuming you’re part of somebody with that. If that’s correct, when do you have any hearsay on when that’s supposed to be awarded?
Mark Duff: Yes, Steve, we are a part of that procurement. We obviously can’t talk about it because we are participating in it. But all indications are that DOEs on track for the October time frame for an announcement. There is no reason to believe that, that’s changed any recently. So that’s kind of what we’re assuming at this point.
Steven Fine: And in that contract, if you’re able to say something, your participation is as part of the group, right?
Mark Duff: Yes. We’re a critical subcontractor on the team.
Steven Fine: Alright. What was the $673 million tax thing? It was $673 million that you had added in relative to tax...
Mark Duff: Yes, yes. That’s – if you remember back in the third quarter, Steve, we eliminated our valuation allowance, and that’s kind of like a reserve on your NOLs. And so now we book taxes one way or the other. And so because we had losses, that’s effectively a negative tax.
Steven Fine: Yes. But if that wasn’t there, you’d have a greater loss, right?
Mark Duff: Correct.
Steven Fine: Okay. Alright. Final question is, I keep reading – I keep hearing that industry is being impacted by the inability to find people. Are you having those problems to find people?
Mark Duff: We are not yet, Steve. We are having some turn over, but we’ve been able to find people. And we’re not a work-from-home company for the most part, and that’s hurt us a little bit, because we have such a team-oriented office and the work we do require us to be at work. So we’ve lost some folks there, but we’ve been able to replace them. The places, locations that we’re in have been supportive of that and the labor market hasn’t been quite as bad as some other places in the country. But to answer your question, it hasn’t impacted us significantly. We did – we’ve lost some people, probably the thing that has impacted us, if anything, is the DOE sites that we’re located near are hiring enormously. So we’re fighting the pressure for people to join other contractors at the DOE sites as these budgets go up. But so far, we’ve been able to replace our personnel and with a few exceptions out of Hanford we have seen limited impact.
Steven Fine: So I guess connected to that question is, so if you progress with the TBI and you got – went to the larger amount, is it reasonable to ask that you’ll have – you’ll be able to get people to be able to scale up.
Mark Duff: We believe we can, Steven, I think that will not be where our risk lies. I think that we will be able to move the folks around that we’ve got – and we’ve been successful so far in recruiting as we’ve lost about a dozen people in Q1 – early Q1 and we replaced it by the end of the quarter. And that’s not what we want to be spending our time and resources on, and we don’t want to lose trained people, believe me. But we’ve been able to recover, and I think it’s a little bit more stable now. So to answer your question, I don’t see that as a significant risk to be able to meet TBI goals.
Steven Fine: Alright. Well, thank you very much.
Mark Duff: Thank you, Steve. Appreciate it.
Lou Centofanti: Thanks, Steve.
Operator: Okay. The next question is coming from Aaron Warwick with Breakout Investors. Your line is live
Aaron Warwick: Hi, guys. Thanks for taking the call.
Mark Duff: Good morning, Aaron.
Aaron Warwick: Hey, good morning. You have guided sort of generically that you expect the revenue this year to return to or potentially exceed pre-COVID revenue. Looking at the numbers then, it looks like your pre-COVID would have been just over $100 million. So is that sort of the expectation that you would be over a $100 million this year in revenue?
Mark Duff: Well, Aaron, we certainly want to be tracking to that level on a quarterly basis. Q1 was not supporting that goal very well. But we are looking at the next several quarters that are getting towards that $25 million a quarter level and hopefully exceeding it with just a few more wins. Over the next two quarters, we should be able to exceed it by the end of the year. So that is our goal. I don’t want to speculate that we will be able to make up for Q1 at this point, but we certainly are thinking that we will be in the $25 million a quarter position by the end of the year.
Aaron Warwick: So sort of on a run rate level?
Mark Duff: Yes.
Aaron Warwick: Okay. Good. Good. And then you had mentioned on the last call about bidding activity in March and how it was at, I think, pretty much indicated, the highest levels you’ve seen for that month? How do things look in April? And has that kind of continued into April?
Mark Duff: It has continued. March was a pretty big month, but we’ve been – like I mentioned in the last call that we added 28 bids in March. I don’t have the number for April. But it’s in the mid-20s, low mid-20s overall. I would speculate, again, I’d have to verify that. So it’s doing pretty well. Our revenues – or excuse me, the values of those bids were increasing pretty linearly along with the numbers a bit. So we’re seeing a lot of activity in the commercial sector that are making up for some of the delays from DOE and the government work on the waste treatment side of the house. So we’re very optimistic about that, that we will continue to see that number be in the mid to high 20s on a per month RFP basis.
Aaron Warwick: Fantastic. Thank you, guys. Appreciate it. 
Mark Duff: Alright. Thanks, Aaron.
Operator: Okay. The next question is coming from James Godfrey with Godfrey Consulting Group. Your line is live.
James Godfrey: Good morning gentlemen. Thank you for taking my call.
Mark Duff: Good morning.
James Godfrey: So, I just wanted to follow-up in get greater detail to some of the prior discussion here. One of the things, of course, that’s imperative, let’s say it’s at Hanford and treatment at Hanford is so huge in the Test Bed Initiative test. And you suggested that, hopefully, by late Q3, we could actually see the next 2,000 gallons come in as part of the Test Bed Initiative second phase. To that and this week – last week, actually, there was a tri-party, a three-day or two-day – three-day meeting ideas. And from that Weapons Complex Monitor indicated that the speakers certainly were hinting that a deal was clearly on the works with the State of Washington. So, that’s kind of validating what you represented, and I appreciate that and just put that out there for whatever it’s worth. Now, there is one final permit necessary from the State of Washington. And I want to know how encompassing is that permit going to be? Is that going to be kind of a huge event that gets us over the hurdle or are we going to have to continue to gravel with the State of Washington going forward for the next phase of the Test Bed Initiative?
Mark Duff: Well, it’s a complicated question, James. But just in a nutshell, the permit that you are referring to is the RD&D permit. RD&D permit is what DOE applies for with the State to ship the 2,000 gallons and any additional waste that they want to ship could go underneath their RD&D permit. RD&D permit comes in after the where the waste is incidental through reprocessing report is approved along with the EA being approved. Then they apply for the RD&D permit. And the states saying it should be less than 90 days to grant that permit. So, to answer your question, it’s not typically over and onerous permit, a request. They certainly have already written the – we have already drafted the permit application for the most part and ready to go with it. So, we expect that to go in any time now in the next few weeks is my understanding and see the state turning around to meet that Q3 goal or at least schedule, I should say. So, we don’t expect it to be too bad. There is a couple of things that can change things along the way, depending on what waste they want to ship us and there is some debate out there, they shipped us the waste and the – that the TSCR has generated, they wouldn’t even need that permit. But we are leaving it at the DOE to decide and work with the state on directly. And – but at any rate, it looks good for the end of Q3.
James Godfrey: Fantastic. Well, that’s very encouraging. It’s been so long in coming in. And of course, COVID delayed everything, but that’s exciting. Speaking of COVID delays, at one point, you had represented that the government had been stockpiling a lot of waste and that you were hopeful that at some point, you would see not only a return to normal levels, but a surge that also you were receiving in effect some of this built-up waste that hadn’t been shipped. Is that still your expectation? And do you have anything to just general guidance as far as how much stacked up waste is there out there that we might potentially see?
Mark Duff: James, it’s really hard for us to understand what they have got, what their inventories are that they are going to ship. We know that from meeting with several of the larger generators at a conference in March and Phoenix that there is spreadsheets of waste that they have accumulated through cleanup activities or other things over the last couple of years that they haven’t shipped and that waste will begin to be moving. We have put in some bids for several of those larger waste streams. We are waiting for Oak Ridge here to get through their system – they are in a good – the primes are negotiating with DOE on those now as far as what priorities are next and which would be funded with the current budget that’s approved. We met  last week at their facility in New Mexico. They have got a big list as well, and we are working with them on some specific ones. So, we do know that the list out there are much longer than it is typically seen in a year. What they are funded to do what their priorities are and what shares have been task order, we can’t speculate on because we don’t know which ones we could address versus direct disposal versus something else. So, it’s difficult to say. But we do know there is a pent-up demand, and we meet with the waste managers for each of these sites frequently and they convey to us that they have got good backlogs to keep moving with their surplus and funding. So, we are optimistic.
James Godfrey: Great. So, I mean just kind of looking at the overall business we have survived on the services side, but not only do we see revenue increasing but also high-margin treatment business is going to become a more important mix going forward, and that’s just critical as we all know. So, that’s certainly encouraging. And I appreciate your answer. Thank you, Mark. As far as the $45 billion Hanford Integrated Tank Disposition contract. We are embedded in that “meaningful work” must be done by small businesses. And we are in their bidding as a group and that’s fine, even if we don’t win the bid, though, doesn’t – our facility on location opened the door for just a huge surge in potential business activity at Hanford as this $45 billion contract gets integrated, especially since we still fall under that small business umbrella.
Mark Duff: You are correct, James. We do fall under that umbrella. And the answer is absolutely, win or lose on that team, we do expect to be supporting Hanford in a big way on several of the process waste streams that come off their plants, at tank farms and DFLAW facility as well. So, as that program is rolling, we do see significant opportunity, and we have been involved heavily with the incumbent contractor who is continuing to meet milestones and on the DFLAW start-up as well as other field activities. I think we have got a good understanding of what this waste streams would look like in the coming years. So, the answer goes absolutely, we are very confident that win or lose, it will be a big impact to our Perma-Fix Northwest plant when those programs get rolling.
James Godfrey: Fantastic. Just a couple of other questions, in the past, you have talked about you have multiple “transformative initiatives” in various stages of incubation. And I think you define those as like $20 million or $25 million revenue streams, hopefully going forward if you were successful. Give us an update on some of those initiatives, how much work have we been able to accomplish kind of through this COVID phase? And are some of those incubated products or platforms starting to show some light at the end of the tunnel where they might actually kick in above and beyond our platform established business lines?
Mark Duff: Yes. James, it’s a good question. The – there is a couple of those initiatives include our international program, our commercial program and our Navy program. International has moved very quickly. We have been awarded a framework contract in UK to do waste treatment services over there. As you may have seen in the March timeframe, we had an announcement that we put together an arrangement with Westinghouse to consider building a new plant in the UK in support of a big project out of Italy. And this plant in UK would support the waste that would come out of that Italy project. The Italy project RFP came out three weeks ago due in July, likely be awarded by the end of the year. That’s a very large project in the $40 million range, and it’s been going on for many years. It’s anticipated to be two competitors, us and another team. So, that program is making progress. We continue to work with different companies in Germany and Slovakia and the UK for shipments. So, the UK, - excuse me, the international work is going well. It’s taken a little bit of a hold based on all the activity in Ukraine, but not significant. Things are still moving, but the shortage of containers and some other things have slowed things down a little bit in the international world, but we expect them to pick back up. The commercial side, as I mentioned, is going very well. Two different fronts there, one is on the waste treatment side, which I mentioned our sales team has been revised, and we have a new leader who comes from TVA very familiar with the commercial world. He has done a great job and really launched that program in the last six months. That’s going great. But in addition to that, we have been successful in getting involved in some of the commercial decommissioning work as well for the reactors that have recently been slated to be decommissioned commercially. So, we are working with a couple of firms there and once moving ahead very quickly, we are excited about where that can lead us. And then the Navy, the other one is our ship project is going very well at Norfolk Naval Shipyard for the , they call it. We have also just – we finished up a demolition of a building – excuse me, decommissioning of a building at the Norfolk Naval Shipyard and that project ended in Q1 and get just an outstanding rating from our clients, which will be very supportive in moving forward with similar type of work. That – those programs with the Navy are getting significant funding increases with very large backlog of decommissioning for vessels, ships and subs to support the ones they want to build. And some of those, the ones that have recently been announced just several nuclear ones as well that we will have a play in. And so we are seeing all those move forward rapidly and look forward to participating in that as a kind of a branch of our expansion. And we have a number of other smaller initiatives that are also moving forward. But these are primary ones right now that we are seeing an impact on this summer, hopefully.
James Godfrey: Great. And then one final kind of difficult situation that we have encountered, let’s face it at Hanford, there is folks who – that are promoting strictly everything gets done under “gold standard” vitrification and they have their own political interest in doing that. We were attacked a while ago questioning our safety platform a little bit because of a couple of very minor instances and issues. So, just in the terms of safety, kind of reassure us that the management controls that are in place, if we learned anything from those experiences, I am sure we did. What – where do we stand in terms of safety. It seems to be the one thing out there that really we could do a better job of really emphasizing that we are running one hell of a safe operation. And as far as that’s concerned going forward, we hold our head high. So, that’s my understanding. And just kind of speak a little bit about where we stand on our safety platform to reassure folks that these minor little situations happen with everyone. And going forward, we have completely got our arms around those situations.
Mark Duff: Yes. James, we are very sensitive to the fact that we will not be successful if we have safety issues. And that’s probably one of our biggest risks. And when we look at on a daily basis with our management team, our two Executive Vice Presidents went for the treatment side, Richard Grondin and Andrew Lombardo of the services, spend a significant amount of time with their teams revising and implementing and addressing our safety culture. So far this year, just kind of give you a sense, we have had one recordable the entire year. And that’s a really good record for the type of work we are doing, way below national averages in a huge way. We have had some minor fires in the past. We put – this has been taken care of, and we have learned from those and there has not been any releases, that’s the key part. And we put in corrective actions to make sure this don’t happen again. And in both cases, there was no property damages either. So, those are important to learn from and we train constantly to make sure that we maintain our safety goals. DOE has very strict safety standards when we bid things. We have to be within those standards. And we are regulated with our regulators and our communities as well to make sure that we have maintained safe operations, wherever we are located. So, we are very proud of our safety program. We believe it can always be better. It needs to be, zero is our target for everything on incidence rates and recordables. And we are – we have done very well over the last 3 years, but we are improving all the time as well. So, I think, hopefully, that answers your question, James.
James Godfrey: It does. And I think relative to the creditors you have had, it was very lopsided in very – it’s coming from people that certainly have different platforms that they are attempting to promote. It isn’t like it’s coming from some independent evaluators. As far as that is concerned, I think it would be interesting to see a comparison that put up our safety record against other contractors at Hanford, because I am quite confident that incident numbers per man-hour, we probably are right there going toe-to-toe with not have an exemplary record. So, any further work you can do to better illustrate really how safe and how seriously we take this, I think would pay huge dividends going forward, especially with the tens of billions of dollars of future opportunities at Hanford, it seems to me to be one area where we really need to continue to buckle down and differentiate ourselves positively. With that, I appreciate it. I’m happy that we have seen the trough and revenues are looking forward to headed in the right direction and business mix is headed in the right direction of my assessment, and I wish you all the best of luck. And thank you.
Mark Duff: Thank you, James.
Operator: I would now like to turn the floor back to management for closing remarks.
Mark Duff: Alright. I would like to thank everyone for participating on our first quarter conference call. We remain extremely confident in the outlook for our business, and we appreciate the continued support of our shareholders and look forward to providing further updates as developments unfold. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.